Operator: Good day, and welcome to the Pioneer Power Solutions Inc. Fourth Quarter and Year End 2021 Earnings Results Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Brett Maas from Hayden IR. Please go ahead.
Brett Maas: Thank you and welcome. The call today will be hosted by Nathan Mazurek, Chairman and Chief Executive Officer; and Walter Michalec, Chief Financial Officer, and also on the call today is Geo Murickan, President of the company’s recently launched Pioneer Power Mobility Business Unit. Following the discussion, there will be a Q&A session open to participants on the call. We appreciate the opportunity to review the fourth quarter and full year financial results as well as discuss the recent business highlights. Before we get started, let me remind you this call is being recorded and webcast. During this call, management will make forward-looking statements. These statements are based on the current expectations and assumptions and are subject to risks and uncertainties that could cause actual results to differ materially. Please refer to the cautionary text regarding forward-looking statements contained in the earnings release issued earlier today and in the posted version of these prepared remarks, both of which apply to the content of this call. I'd now like to turn the call over to Nathan Mazurek, Chairman and CEO. Nathan, please go ahead.
Nathan Mazurek: Thank you, Brett. Good afternoon and thank you all for joining us today for our conference call. This was a watershed quarter for the company. We have successfully repositioned Pioneer as a valued provider of equipment and services to the rapidly growing distributed generation and electric vehicle markets. The shift in strategic direction that has taken place in the last 18 months is in direct response to specific customer demand and is predicated on two durable secular catalysts. The first, reality is the intense focus of many larger power users to utilize multiple power sources in order to reduce electric power costs, provide resiliency, and decrease their carbon footprint. Sole reliance on the grid is no longer acceptable from a reliability or a sustainability point of view. The episode in Texas in the winter of 2021, demonstrated this challenge as has the multiple brownouts and rolling blackouts in California and other locations during the summer months. For data centers, call centers, refineries, industrial facilities, and retailers with perishable inventory, even a brief power interruption is a business challenge that cannot be tolerated. For others, it is a never-ending increase on their power bill relating to demand charges. Backup generation, peak shaving, peak skimming, battery storage, and the use of renewable energy sources is a matter of business continuity and profitability. Achieving these objectives, however, can be challenging. The second secular tailwind is the growing popularity of electric vehicles. The charging infrastructure for electric vehicles has not kept up with their demand and there is a growing need for high-capacity off-grid charging solutions. Retailers, restaurants, hotels and casinos, concerts, trade shows and sport venues, and workplaces are moving quickly to add charging solutions. These additions are not simple, requiring city, county-type permits, civil and electrical and architectural engineering, and third-party approvals like utilities and facility owners. All of this takes time, usually more than a year and occurs additional costs that are slowing down the necessary EV charging infrastructure build-out, impacting the EV vehicle adoption. The biggest hurdle in this process is often the grid capacity itself and the necessary power infrastructure to add the large demand from EV charging in locations like older apartment and condo complexes, rendering these locations with no solution for EV charging and those building residents with no option to adopt electric vehicles. This has been driving the demand for a decarbonizing off-grid mobile solution for EV charging. Our E-Bloc solution provides a critical system for expanded distributed energy generation. Our Grid-on-a-Skid E-Bloc is a rapidly deployable customized product that enables easy connection of on-site solar, wind, peak shaving, energy storage or backup generation. It is skid mounted outdoor rated, can be deployed almost anywhere and can manage almost any type of energy resource. With this, customers can utilize solar wind or any other renewable energy source while maintaining their traditional connection to the grid. More specifically, during the fourth quarter, we were awarded our largest E-Bloc order to date, valued at approximately $12 million. The order comprises 62 E-Bloc units destined to be installed at 62 different store locations of one of the nation's largest mass retailers. These units will improve the electrical resiliency, redundancy and power capacity at these locations and are expected to begin shipping in the second quarter this year. In addition, these units represent only the initial phase of this retailer's target of approximately 500 additional store locations over the next few years. I'd note this retailer has several thousand locations overall, and this is just one of many large retailers that we are targeting. In addition, during the fourth quarter, we also received a $500,000 order for E-Bloc to be deployed as part of a Southern California utilities, hydrogen fuel cell residential demonstration project. Our E-Bloc solution will provide a packaged electrical solution tasked with integrating and controlling the various distributed energy resources, including a hydrogen fuel cell, Photovaltaic Solar and energy storage to form an islanded microgrid that can support the power needs of the prototype to story model home. This system eliminates the need for connectivity to a public utility grid. We expect to ship this system in the second quarter of this year. These two wins for E-Bloc validate our development of this innovative product. Our focus now is to leverage this initial success to bring E-Bloc to a much wider group of energy developers and users. E-Bloc is a compelling solution to a persistent problem. It makes distributed generation easy, affordable and fast. Customers are seeking energy independence or at least grid independence to utilize more than one energy source, including solar and wind and insulate businesses from the issues of an aging energy grid. In addition, many customers are looking to add charging system for EVs to their infrastructure. We make both possible, much more rapidly and cost-effectively than historical solutions. More importantly, they represent just a tiny portion of a much larger opportunity and an opportunity that it's growing quickly. During 2022, we will be delivering E-Bloc to senior living centers, supermarket change, chains and warehouse fulfillment centers. These are just some of the orders already committed and in our backlog. Again, our focus is on expanding the addressable market, and we are making steady progress in achieving this goal. The other secular trend I mentioned was EV charging, and we have created a new business unit Pioneer Power Mobility and launched a new suite of solutions for this market in November called E-Boost. E-Boost is a self-contained high-capacity mobile charging solution, sustainably powered through green fuel with low GHG emissions and design for roadside events and quick charge logistics. The rapid growth of EVs has made on-demand off-grid charging a priority. We are poised to meet this demand. We have created three delivery platforms of E-Boost in order to better serve varied user requirements. First is E-Boost G-O-A-T, G.O.A.T., which stands for Generator on a Truck. This is a truck-mounted EV charging solution, which is fully mobile and could provide high-speed charging anywhere. Second, E-Boost Mobile is a trailer-mounted solution that provides multiple options for towing and can be available at specific businesses, large sports and cultural events and can be relocated with minimal effort and on short notice. Finally, there is E-Boost Pod, a primarily stationary, Pod and Skid-based EV charging solution with as-needed mobility that can provide easy charging to multiple vehicles, this is an ideal solution for gas stations, hotels and other retail locations that utilize EV charging to increase customer traffic and retention or as merely a brand differentiator. All E-Boost platforms are designed to provide on-demand power needs, especially in emergency situations such as a power outage, serving as a backup power source with convenient power connections and outlets available on board. We have already booked and shipped our first sale, a significant order of nearly $800,000 being deployed at a hotel and casino and will recognize meaningful revenue from E-Boost in the first quarter, our current quarter. Just recently, we won a second order from a turnkey EV fleet charging infrastructure solutions provider and a pioneer authorized channel partner. The sale is for two of our E-Boost skid-mounted Pod solutions to be used for recharging trucks at the customers' dealerships and electrical school buses at the bus depot. The selection of E-Boost was made on the basis that it was off-grid, sustainable, portable and could be delivered to the EV manufacturer in a timely fashion and support their dealerships with the subsequent sales with subsequent sales of these products. We expect these units to be delivered during the second quarter of this year. These two orders were won soon after we launched the suite of E-Boost products in November of last year. Market reception is overwhelming. We believe we are the only company offering a high-capacity, fast charging mobile solution powered by transportable and available liquid propane. This allows a greater, a user, greater charging capacity and faster charging than any other solution. In fact, for 2022, we expect E-Boost to represent as much as 10% of our annual revenue. Not our pipeline or our backlog but recognized revenue in 2022. Further, we expect E-Boost revenue to double in 2023 from 2022 levels. The progress we've made is reflected in our backlog. During the fourth quarter, our backlog more than doubled from $10.9 million at September 30 to $22.8 million as of December 31. Again, our backlog is not a pipeline. Our backlog represents firm non-cancelable orders, most of which are expected to be delivered over the next 12 months. Based on this backlog and the accelerating demand for these solutions, we expect year-over-year revenue to grow by more than 50% this year. The underlying trends are strong and the market opportunity is significant. We do not see any slowdown in these trends. Our focus is to capitalize on them to the best of our ability, benefiting from our first-mover advantage. In addition, we expect significant margin expansion. The growth is exciting and validates our strategy. We have developed differentiated solutions that meet a large and growing demand, but more importantly, these products will enable us to expand our margins as well. You should expect to see steady year-over-year improvement in our margins as we move through this year. Over the coming weeks and months, I am confident you will hear more from us about new deployments of E-Boost and E-Bloc and the positive impacts our solutions are having for our customers. With that, let me turn the call over to Walter, our CFO, to discuss our financial results.
Walter Michalec: Thank you, Nathan, and good afternoon, everyone. Revenues were $3.5 million for the fourth quarter of 2021, down 35% year-over-year compared to $5.4 million in the fourth quarter of 2020. As Nathan indicated, we are just beginning to see the significant contribution of E-Bloc sales, and the first E-Boost sale was booked during the current quarter. Additionally, our fourth quarter results were impacted by supply chain disruptions, pushing a significant amount of revenue into 2022. Selling, general and administrative expenses of $1.5 million during the fourth quarter were 43% of revenues, an increase of approximately $300,000 when compared to $1.2 million in the year ago quarter. Operating loss for the fourth quarter of 2021 was $1.5 million compared to an operating loss of $900,000 in the year-ago period. Net loss for the fourth quarter of 2021 was $1.4 million or negative $0.16 per share compared to a net loss of $744,000 or negative $0.09 per share during the fourth quarter of 2020. Now, turning to the full year financial results. Total revenue was $18.3 million, down 6% compared to $19.5 million for the same period last year. Pioneer's gross profit increased 58% to $1.4 million or 8% of revenue from $881,000 or 5% of revenue for the same period last year. The significant increase in gross profit was the result of strict management of overhead costs and pricing power in our end markets. Additionally, the company recognized a $546,000 write-down of inventory during 2020 as a result of management's strategic decisions to rationalize its traditional product offerings and focus on higher margin equipment sales, and there was no comparable write-off during 2021. Full year SG&A expenses were up 2% to $5.3 million or 29% of revenues compared to $5.2 million or 27% of revenues during 2020. Operating loss during 2021 decreased 10% to $3.9 million from $4.3 million during 2020. Net loss was $2.2 million or negative $0.24 per share compared to a net loss of $3 million or negative $0.34 per share last year. That's approximately a 30% improvement to our bottom-line. Turning to the balance sheet and statement of cash flows. We had cash, including restricted cash of $11.7 million and zero debt at December 31, 2021, compared to cash of $7.6 million and debt of $1.4 million at December 31, 2020. During the fourth quarter, the company sold 888,500 shares of common stock under the ATM program at an average price of $10.13 per share for net proceeds of approximately $8.7 million. We plan to use the net proceeds to advance our E-Bloc and E-Boost mobile charging businesses, working capital needs and other general corporate purposes. For the year ended December 31, 2021, our cash used in operations decreased to $2.4 million compared to 2022 when we used cash in operations of $3.6 million. I also think it's worth noting that as part of the sale of our transformer business units in the second half of 2019, we received two subordinated promissory notes. We expect to receive approximately $6.5 million in cash from the maturity of those notes by the end of this year 2022. As Nathan said, we view 2022 as a year of growth and margin expansion. Based primarily on our backlog as well as the significant and accelerating demand for our new solutions, we believe we can grow revenue by at least 50% in 2022 when compared to 2021. And further, we expect meaningful margin expansion. This concludes my remarks. And now I turn the call back over to the operator for any questions. Thank you all for your time and concern. Operator?
Operator: Thank you.  Our first question today will come from Amit Dayal with H.C. Wainwright.
Amit Dayal : Thank you. Good afternoon everyone. Nathan, just on the gross margin…
Nathan Mazurek: Good afternoon Amit.
Amit Dayal : Hey, Nathan. Just on the gross margin outlook, are we expecting margin improvements primarily to come from the T&D segment or the Critical Power segment?
Nathan Mazurek: Both.
Amit Dayal : Okay.
Nathan Mazurek: On the T&D segment, it's going to come mostly really from the volume. So we get the leverage there on the volume. And on the Critical Power segment, that's where the E-Boost sales are being segmented and they are good margin, profitable sales for us.
Amit Dayal : And just so can you maybe set a range of what we could potentially expect from these improvements? Is it 10% to 15% net gross margin?
Nathan Mazurek: Yes. Yes. We hesitated to do it until we get at least one quarter under our belts at a different volume than we've been used over the last two years with the different mix. So we're really going to wait --we, of course, know what the revenues are already for the first quarter. We're going to wait and see what kind of improvement we had. What was it due to? What can we really expect and that we hope maybe on the call we do in mid-May that we can kind of give an outlook for what we expect the year contribution margin to look like.
Amit Dayal : Okay. Understood. This -- the 50% year-over-year growth you're expecting, could you sort of give us the cadence of quarterly revenues that you're expecting. Is this going to be weighted more towards the second half of the year, or are you expecting sort of an even distribution given that your backlog has grown pretty strongly?
Nathan Mazurek: Yes. I would say that definitely the second half of the year, the cadence is going to be even higher, but I think that you will see already not just a small amount, but you'll see quite strong gains year-over-year, both sequentially into the first quarter of 2021, in 2022 compared those will be evident already in the first quarter.
Amit Dayal : Okay. And your -- the relationship with the national retail customer, have you started deliveries further already in 2021?
Nathan Mazurek: No. The first deliveries are slated for the end of the second quarter, assuming everything goes according to Hoyle, so far, so good. Anything could happen. But that's what we're expecting. Deliveries start the very end in June. And the bulk of them -- the bulk will probably be in the third quarter and they'll probably be a little bit left over into the fourth quarter.
Amit Dayal: Okay. Thank you. Any issues from supply chain related challenges in terms of meeting this delivery and deployment schedules?
Nathan Mazurek: All day long. We've tried on both sides of the business. We've tried to be ahead of it. We're holding a lot of critical and more difficult components, long lead items as early as we can, like circuit breakers and other kinds of control components. We're holding engine inventory so that we're able to meet some of these. Frankly, if we wouldn't have had the inventory, we wouldn't have sold the E-Boost unit that we sold two weeks ago. We wouldn't have taken the order that we just did for this trucking/electrical bus business. It just won't happen. So having the inventory is great. And that's -- we're trying to be judicious about it.
Amit Dayal: How is the E-Boost performing for customers so far?
Nathan Mazurek: So far, so good. Very few call to tell you how great you are. They only called the complaint. So I mean no complaints. So that's good.
Amit Dayal: Okay. All right. Good to hear that. Thank you so much. That’s all I have.
Nathan Mazurek: Thank you, Amit. Pleasure to hear you.
Operator:  At this time, there are no further questions. I'll now turn the conference back over to you for any additional or closing remarks.
Nathan Mazurek: Thank you, operator. Thank you all for your time and support. We believe that this will be a milestone year for Pioneer Power, as we emerge and transition into a recognized leader in the distributed generation and EV charging marketplace. We look forward to updating you again on our next call.
Operator: Well, thank you. And that does conclude today's conference. We do thank you for your participation. Have an excellent day.
Nathan Mazurek: Thank you.